Operator: Good afternoon, and welcome to the Ross Stores First Quarter 2022 Earnings Release Conference Call. [Operator Instructions] Please be advised that today's call is being recorded.  
 Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2021 Form 10-K and fiscal 2022 8-Ks on file with the SEC.  
 Now I would like to turn the call over to Barbara Rentler, Chief Executive Officer. Please go ahead, ma'am. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael Hartshorn, Group President and Chief Operating Officer; Adam Orvos, Executive Vice President and Chief Financial Officer; and Connie Kao, Group Vice President, Investor Relations.  
 We'll begin our call today with a review of our first quarter 2022 performance, followed by our outlook for the second quarter and fiscal year. Afterwards, we'll be happy to respond to any questions you may have.  
 As noted in today's press release, we are disappointed with our lower-than-expected first quarter results. We knew 2022 would be a difficult year to predict, especially the first half when we were facing last year's record levels of government stimulus and significant customer pent-up demand as COVID restrictions eased. The external environment has also proven extremely challenging as the Russia-Ukraine conflict has exacerbated inflationary pressures on the consumer not seen in 40 years. As a result of these factors, our first quarter results underperformed our expectations.  
 Total sales for the first quarter were $4.3 billion with comparable store sales down 7% on top of a robust 13% gain in the first quarter of 2021 that were versus 2019. Earnings per share for the 13 weeks ended April 30, 2022, were $0.97 on net income of $338 million.  
 The quarter includes an approximate benefit of $0.06 per share from the favorable timing of expenses that are expected to reverse in subsequent quarters. These results compared to $1.34 per share on net earnings of $476 million for the 13 weeks ended May 1, 2021.  
 Men's was the strongest merchandise area during the quarter, while Florida was the top-performing region. dd's DISCOUNTS performance in the first quarter trailed that of Ross, as the significant benefit of last year's stimulus and escalating inflationary pressures had a larger impact on lower income households. At quarter end, total consolidated inventories were up 57% versus the same period in 2021, mainly from higher packaway inventory.  
 Packaway merchandise represented 43% of total inventories versus 34% last year when we used a substantial amount of packaway to meet robust consumer demand. Additionally, supply chain congestion eased somewhat during the first quarter, resulting in the early receipt of merchandise that we stored in packaway and will flow to stores later in the year. Average store inventories during the quarter were up, though we still operated with significantly less inventory in store than we did pre-pandemic.  
 Turning to store growth. Our 2022 expansion program is on schedule with the addition of 22 new Ross and 8 dd's DISCOUNT locations in the first quarter. We remain on track to open a total of approximately 100 locations this year, comprised of about 75 Ross and 25 dd's. As usual, these numbers do not reflect our plans to close or relocate about 10 stores.  
 Now Adam will provide further details on our first quarter results and additional color on our outlook for the remainder of fiscal 2022. 
Adam Orvos: Thank you, Barbara. As previously mentioned, our comparable store sales were down 7% for the quarter as average basket growth was more than offset by the decline in transactions versus the prior year. First quarter operating margin of 10.8% was down from 14.2% in 2021, mainly due to the deleveraging effect of the same-store sales decline, along with ongoing cost pressures from higher freight and wages that began to escalate in the second half of 2021.  
 As Barbara commented earlier, the quarter benefited from the favorable timing of expenses, most of which were in gross margin. Cost of goods sold in the first quarter increased by 295 basis points due to a combination of factors. Merchandise margin declined 170 basis points, primarily due to higher ocean freight costs. Domestic freight rose 80 basis points while occupancy delevered 40 basis points on the same-store sales decline. Distribution costs increased 25 basis points, mainly due to wage actions taken last year. These unfavorable items were partially offset by buying expenses that improved by 20 basis points. SG&A for the period rose 50 basis points due to higher wages and the deleveraging effect of lower comparable sales. 
 During the first quarter, we repurchased 2.5 million shares of common stock for an aggregate cost of $240 million. We remain on track to buy back a total of $950 million in stock for the year.  
 Now let's discuss our outlook for the remainder of 2022. As Barbara noted in today's press release, given our first quarter results and today's increasingly uncertain macroeconomic and geopolitical environment, we believe it is prudent to adopt a more conservative outlook for the balance of the year. We are now forecasting comparable sales for the 13 weeks ending July 30, 2022, to decrease 4% to 6% on top of a very strong 15% gain in the prior year period. Second quarter earnings per share are projected to be $0.99 to $1.07 versus $1.39 last year.  
 Our guidance assumptions for the second quarter of 2022 include the following: Total sales are forecast to decline 1% to 4% versus the prior year. We plan to open 29 locations in the second quarter, including 21 Ross and 8 dd's DISCOUNTS locations. Operating margin for the second quarter is planned to be in the 10.4% to 10.8% range, down from 2021 due to deleverage on lower same-store sales and ongoing expense headwinds that are expected to continue through the first half of 2022. Net interest expense is expected to be approximately $15 million. The tax rate is projected to be about 25%, and diluted shares outstanding are expected to be approximately 348 million.  
 For the full year, we are now planning comparable store sales to decline 2% to 4% and earnings per share in the range of $4.34 to $4.58. As Barbara mentioned, this reflects our continued expectation for sales and profitability to improve as we move through the balance of the year.  
 Now I will turn the call back to Barbara Rentler for closing comments. 
Barbara Rentler: Thank you, Adam. Looking ahead, while the landscape in early 2022 has been tougher than expected and the year may prove to be more difficult than initially anticipated, we remain confident in our ability to successfully navigate through this period. We have shown in the past that our value-focused business model has served us well in both healthy and more uncertain external climates and believe the current challenging conditions will be no different. Despite the slower-than-expected start to 2022, we operate in an attractive sector of retailing. Our mission continues to be delivering the best bargains possible to leverage our favorable market position. As demonstrated by our long successful track record, we believe our steadfast focus on the execution of this core strategy will be the key driver of our success.  
 At this point, we'd like to open up the call and respond to any questions you may have. 
Operator: [Operator Instructions] Your first question comes from the line of Kimberly Greenberger with Morgan Stanley. 
Kimberly Greenberger: Barbara, I wanted to ask about product and merchandise execution. Could you just comment on how you feel the team is executing in merchandising? And how did merchandise margin perform here in the quarter, if you exclude, let's say, inbound freight and domestic transportation costs? Are there any pockets of inventory where you wish you had a little bit more and how in aggregate are you feeling about your overall inventory position? 
Adam Orvos: And Barbara, this is Adam. I can jump in on the merchandise margin question, and then throw it back to you.  So Kimberly merchandise margin, as stated in the comments, has dropped 170 basis points versus last year. But we would have been flat versus last year's significant gain without the impact of ocean freight. 
Barbara Rentler: In terms of -- let's start with the pockets of inventory in aggregate. At this stage, Kimberly, in the market, there's a lot of availability. And it's very broad based, whether it's in home or whether it's in apparel, there's a lot of supply out there. So I wouldn't really say that there are problems in any pockets of inventory that we have.  
 In terms of execution in products -- in merchandise, here's what I would say. I would say that we didn't execute at the level that we're capable of. We're digging into the business now and we feel that we can improve the assortments and we can improve our execution. So at this point, it's really about us. It's about us taking different actions in some of our assortments overall, I would say. 
Operator: Your next question comes from the line of Mark Altschwager with Baird. 
Mark Altschwager: Obviously, a very tough environment out there, especially for lower-income consumers. We've heard from other retailers that the initial shock of inflation following Russia and Ukraine led to a pause. Curious if you've seen any notable change in trend, a positive change in trend as you move through April and into May.
 And then bigger picture, Ross has navigated weaker economic environments in the past, benefited from the trade down to value. Just how do you view the potential for that as the year unfolds? 
Michael Hartshorn: Mark,  it's Michael Hartshorn. On our trend during the quarter, ours was, we -- following a fairly strong start to the period -- the start to the quarter, for us, sales underperformed over the balance of the quarter. And I think, most importantly, there was us anniversarying the government stimulus and customer pent-up demand last year. We also didn't see a pickup during Easter that we had planned into the business. And we wouldn't comment on inter-quarter trends at this point.  
 On the trade-down customer, it's hard to say. Obviously, with higher fuel and food prices, discretionary spending for the lower-end customer is being squeezed. We saw customers at both chains pull back on spending in the first quarter.  
 In terms of trade down, the best proxy we would have, although every recession is different, would be 2008, when the fall of 2008 was very difficult and we started to see some improvement in the first half of 2009. 
Operator: Your next question comes from the line of Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: I wanted to follow up on your comment, Barbara, that sales and profitability -- within your guidance, sales and profitability will improve as the year progresses. Can you just provide us with just some context on what gets you comfortable, especially on the top line, that things will improve as the year goes on? 
Michael Hartshorn: Lorraine, on the top line, the guidance assumes a fairly steady pace. In the fourth quarter, we know -- for instance, we have opportunity because we're up against Omicron, and we had supply chain congestion that we know we lost business in the fourth quarter last year.  
 In terms of profitability, as we said, when we started the year, we do have -- we did make wage increases in the back half of 2021. And we also -- that is also where we started to see the freight increases. So the guidance assumes that we lap those increases from last year.  
 Overall, what you see in our changed guidance is really just sales. We haven't changed our expense assumptions. When we came into the year, we thought we had a good grasp on freight, ocean freight, wages. And the only thing that's slightly changed there is fuel, but we've been able to offset those in other costs in the business. So the updated guidance really is a sales flow-through. 
Barbara Rentler: And Lorraine, in terms of the assortment, what happened last year is that merchandise slid, as I'm sure it did for all retailers. Different product categories created real gaps in the assortment. So as you get into fall and the inventories catch up with where those gaps were gives you the confidence in certain businesses that the performance should be better. 
Operator: Your next question comes from the line of Matthew Boss with JPMorgan. 
Matthew Boss: So Barbara, on the magnitude of the comp slowdown as the quarter progressed, I guess, were there any notable changes by category or specific geographical call-outs as you dissect the first quarter? And then just looking back, if we take maybe a broader picture thought process, are there any time frames that you'd compare the magnitude of this sharp slowdown? How many quarters or how long did it take for your model to respond? Just kind of thinking about the duration in the past, and then the subsequent improvement that you're baking in as the year progresses? 
Barbara Rentler: In terms of a slowdown, Michael, from one quarter to another, I can't really think of a period of time were we baked in that other than in 2016, where we had difficulty in the ladies business, where we had a slowdown... 
Michael Hartshorn: Yes. I mean, Matthew, we knew there was going to be a slowdown, at least on a comp level with all the government stimulus that came out last year. So we had actually planned that in the business and also with the customer pent-up demand as COVID restrictions ease. 
 So even in our initial guidance, the low end of the range was a minus 4, so we missed that by about 3 points. In terms of where in the business has slowed down, it was pretty broad-based. We did see pockets of opportunity. If you look at our larger markets, Texas and Florida outperformed. We had expected, as the border opened up, that we'd see improvement there. We, in fact, did in Florida as tourism and travel started to increase. We had planned increases there, and we saw improvement. 
Barbara Rentler: And then in terms of the assortment, apparel outperformed home. We were up against very large comps in home in Q1. And so that's really where we saw a large difference in performance. 
Operator: Your next question comes from the line of Michael Binetti with Credit Suisse. 
Michael Binetti: So I guess as we look at the quarter on paper, this is -- it looks pretty far from where we were on the narrative in early April. I think there's been a pretty consistent narrative that you felt good on inventory. And I think you felt like it came into spring with the right mix of goods for the categories. The consumer is clearly drawing the line between wanting back-office apparel dresses for women, those kinds of things. So it does sound like demand was the issue. 
 I think you did, however, talk about, in the initial guidance, an acceleration through the year. And I think at the time, one of the inputs was, by 2Q last year, once stimulus kind of cleaned out some of the inventory, you were in chase mode on some real meat and potatoes items that were just stocked out. And I think that fueled a lot of your optimism baked into the acceleration through the year. 
 So it seems like the demand line has changed quite a bit here and that just having inventory may not be sufficient at this point. But how do you true that up and bring that forward and say, "Look, we were missing some categories a year ago in 2Q versus the expectation for sales to continue to be very, very slow here in the second quarter?" 
Michael Hartshorn: Michael, I would just say overall, I mean, it serves us well to be given our underperformance in Q1 to be cautious with the rest of the year. And that's why you saw us bring down the guidance. And that's true from buying inventory to running the company with lower expenses. So we'll see how it plays out. I mean it's very uncertain out there. The inflationary environment was much more than we expected when we entered the year, and we're going to put ourselves in a position to chase business and to chase trends, and we think that will allow us to maximize our potential in this environment. 
Barbara Rentler: And as we dig into the opportunities of the businesses that we did miss and that we didn't have last year, that would be part of what we're looking at to improve the business. So making the shift in your example into more dress versus casual and making the appropriate move. So we're digging into that piece now. 
Michael Binetti: Okay. And can I -- if I could follow that. Is it safe to say the AUR strategy you might have rolled it back a little bit given some of the commentary we've heard across the space at this point? And it sounds like a sharper focus on value versus what you were thinking from the consumer. 
Barbara Rentler: Sure. The AUR strategy, we strategically increased prices. So we didn't do it just straight across the board. So what we really did was make sure that there was appropriate price separation from traditional retailers. And so we monitor that very, very closely. 
 And so the merchants can see on the term line every single week whether something is working or not. And so that piece will continue to do in both companies really with a high focus on value, right? So that a slightly higher AUR might be a very strong value based on what's going on in the rest of the world. So I think the value equation, to your point, is really what our customer looks for and comes to expect from us. And so we are highly focused on the value equation. But that doesn't mean that potentially an AUR could be higher. So they're not mutually exclusive. It could be both ways. You really have to know where and what. 
Operator: Your next question comes from the line of Chuck Grom with Gordon Haskett. 
Charles Grom: It seems like the buying environment is about to turn from just okay to potentially extremely good given where retail inventory levels are going to exit the first quarter, particularly in home. So I'm curious how quickly the merchant buying teams can take advantage of this? And have you baked any of that into the guide for 2Q and beyond? 
Barbara Rentler: Well, the merchants can take advantage of the closeout opportunities as they become available. And there are closeouts in home, and that's more unusual than it is in apparel. Supply lines right now are very broad-based based of all the things that you know. Goods coming in early. People bringing in fall early. So it's kind of all collided at the same time into the marketplace. But the merchants can take advantage of that as quickly as possible, if it's the right merchandise and right product. So there's nothing in their way to keep them from doing that. 
Michael Hartshorn: And we -- on your question on the guidance, we have not built any upside on that into our guidance. 
Operator: Your next question comes from the line of Ike Boruchow with Wells Fargo. 
Irwin Boruchow: Just 2 quick ones. Just on the merchandise margin in the quarter, so 170 was fully ocean freight. Can you -- based on the contracts and the visibility you have, what should that headwind kind of look like big picture or specific as you guys can get as we move into Q2 and beyond? 
 And then to Michael's question on AUR, can you kind of help us with the inventory? I mean it looks heavy, but it's hard to kind of read between the lines sometimes. Are you guys comfortable with your inventory position? Do you see a need to maybe need to clear more product in Q2? Just kind of trying to make -- trying to understand where exactly your comfort is on the inventory right now? 
Michael Hartshorn: I'll start with the -- your last question first on inventory there. So overall, the growth in inventories was really packaway. We ended with 43% of the total inventories versus 34% last year. And if you can remember from last year, we used a substantial amount of that packaway to backstop the demand we saw at the end of the first quarter when the stimulus came out. So the 34% was lower than our historical levels. 
 The second piece relates to supply chain congestion. When we came into the year, we planned longer lead times based on what we saw in the fourth quarter. So what that meant for us, for businesses where we directly import mainly in home, what happened in Q1 is the supply chain eased somewhat and we received early second quarter goods in home, and we stored them in packaway and will flow them later in the year. 
 As far as in-store inventories, we operated up from last year, but remember, again, they were lower than we had anticipated with the frenzied demand, but well below pre-pandemic levels. And so I would say, overall, we're happy with our overall inventory levels. 
Adam Orvos: Yes. And touching on the ocean freight question, they will remain elevated throughout the balance of 2022. But as we anniversary that spike that we had in the second half last year, they remain elevated but improved through the balance of the year. 
 And on the domestic freight side, as Michael commented, fuel costs are higher than our expectations at the beginning of the year, but we've offset that in the guidance that we've provided to you. And by the second half, we don't really -- we don't see any pressure on domestic freight. 
Barbara Rentler: In terms of packaway, we're very comfortable with the content of packaway also. 
Operator: Your next question comes from the line of Simeon Siegel with BMO Capital Markets. 
Simeon Siegel: A few quick ones, if possible. Do you know inventory growth in units versus dollars? And then what percent of the freight costs generally are ocean versus domestic? 
Michael Hartshorn: We wouldn't give you the unit growth. That's not something we disclose. 
Simeon Siegel: Okay. And freight costs, just ocean versus domestic in general? 
Michael Hartshorn: Can you repeat the question? 
Simeon Siegel: When you think about your total freight costs, just roughly what is the ocean versus domestic breakdown? So what percentage of your freight costs tend to be ocean versus domestic? 
Michael Hartshorn: We don't disclose that externally. 
Simeon Siegel: Okay. All right. I'll try one last one then. I think you talked about deleverage. What do you -- can you -- what do you expect for SG&A dollar growth to look like for the year, built into that or embedded in the comments you gave? 
Michael Hartshorn: Could you repeat that question? 
Simeon Siegel: Embedded -- yes, sure. So embedded in the full year guide, just how are you thinking about SG&A dollar growth? 
Michael Hartshorn: I don't know. Can we -- why don't we call you after the call and get specific modeling questions for you? 
Simeon Siegel: Sounds good. 
Operator: Your next question comes from the line of Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Barbara, I wanted to dig into the comment on kind of redirecting or reallocating some of the penetration. What is or was home penetration during the quarter maybe versus ladies apparel? Because I'm assuming that, that apparel piece was the stronger piece of it. And then secondly, how are store traffic trends over the -- pacing over the quarter? If you can help us with those 2, that would be great. 
Michael Hartshorn: In terms of overall home apparel, I think Barbara mentioned earlier that apparel outperformed home, although home was up against very strong comps last year. Adrienne, we also talked a little bit about the trend, and that was similar for traffic in that we had a strong start to the year, so year-over-year growth. And then that dropped in later in the quarter as we started to anniversary the stimulus and also customer pent-up demand. 
Barbara Rentler: And home penetration is around 25% of the company's... 
Adrienne Yih-Tennant: Similar to pre-pandemic, in that range. And then I guess on packaway, so there's a portion of the packaway -- so the number, I think, if I got it correctly, was 43% at the end of this quarter. Some of that is obviously the early receipts in home goods. Were you able to take advantage of any of the unfavorable kind of transition to spring? 
 And I know you don't have a large exposure to the Northeast, but picking up some of those goods off of Northeast retailers. We've seen this happen in the past for you, where that short really does work to your benefit as you redeploy it in 2Q? Is that an opportunity? 
Barbara Rentler: I think that doesn't just come from Northeast retailers. I think there's a lot of spring goods that came into the country and spring -- last fall, plus early spring kind of all collided and came into the country pretty much at the same time. So part of it, I'm sure, comes from Northeast retailers. And part of it just comes in from the supply that came into the country as the congestion eased all at the same time. And we've been able to buy appropriately the things we want in spring products. So yes, there will be spring products that we can use from Q1 into Q2. 
Operator: Your next question comes from the line of Marni Shapiro with Retail Tracker. 
Marni Shapiro: One clarification. I think someone on the call mentioned you did not see the lift around Easter that you normally do. And I was curious if that was related to traffic or assortment? I'm just trying to think it through to other holidays that are coming up and the more traditional cadence of retail business getting back to where it was. 
 And then if you could just talk a little bit about any excess you have going into the second quarter? Will it be liquidated in the second quarter? Or is it current enough that it doesn't have to be marked down? And is this contemplated in the operating margin guidance? 
Michael Hartshorn: Marni, on the inventory, we actually ended with store inventory where we wanted them. So there isn't any liquidation past the first quarter. 
 And then on Easter -- I commented earlier on Easter, and that was versus our expectations. Typically, when there's a later Easter, you have less weather. So we missed our own expectations there in our plan. 
Marni Shapiro: Well, I'm just curious, do you think -- was that -- because overall traffic was lower? Or was it the assortments? Do you think it was more specific to just traffic in general and the late Easter or the assortments that you had in place for Easter? 
Barbara Rentler: What you would define as the Easter assortments, Marni, dresses, dress shoes, children's dresses, those just were fine. 
Marni Shapiro: So that was fine. So you had the lift for that, but the overall traffic lift, as people kind of have a little bit of time off or holidays coming up, that you didn't see? 
Michael Hartshorn: I would say, overall, the traffic is probably a large function of the consumer being squeezed with inflation. 
Operator: Your next question comes from the line of Aneesha Sherman with Bernstein. 
Aneesha Sherman: I have two, please. So I'm trying to square the model of your FY guide versus the Q2 guide, implies that you're modeling about flat comps in the second half of the year. And I'm trying to square that with your view of you're lapping assortment gaps last year, so you should be able to pick up more in the back half of the year. So how does that square with the view of flat comps? 
 And then my next question is around packaway. So you picked up a lot of packaway in Q4. When does that start to flow through? Is that fall/winter assortment that we should start to see that margin benefit from that flowing through in the second half? 
Michael Hartshorn: On the back half, that it does include our easiest compare in the fourth quarter. So fourth quarter would be the stronger comp. On packaway, on average, packaway, we hold it for about 4 months. So that's the way you should think about the timing on when we typically flow goods. 
Aneesha Sherman: But so just to follow up on the packaway. So if you -- the packaway that you're picking up in Q4, most of that will have already flowed through. Is that right? 
Barbara Rentler: It depends on the product. So the packaway that we picked up in Q4, so you're thinking it's like outerwear. So if it was outwear, it's seasonal. That packaway would obviously ship from the vendor when -- at the end of December, let's say, and would release in the fall season. But if you get -- there are other classifications of products like denim, like fleece, like knits or parts of home that are seasonless that can flow all along. So that can flow in Q1, can flow in Q2. A lot of packaway products are seasonless. So depending on the product itself. 
Operator: Your next comes from the line of Dana Telsey with Telsey Advisory. 
Dana Telsey: Last quarter, we had talked about taking price. Where are we in that journey given the slowdown? Is that being adjusted at all? What are you seeing? And how does it differ for dd's versus the Ross brand? 
Barbara Rentler: Sure. So as we've talked about before, we started to increase some of our AURs. Keeping in mind that it has to be the appropriate value separation from traditional retailers and in both companies. And we're strategically doing it. It's not just straight across the board and obviously examining that very closely, does it make sense or not. And you can do that simply by how quickly the goods turn and the markdown rate. 
 So the merchants are managing that every week while they're going through their selling. And then we're reviewing it, obviously, at a higher level to make sure that, that hasn't been an issue. But in both companies and particularly in dd's where the customer is very price sensitive, we really look at that at a pretty low level. 
Dana Telsey: Got it. And then just the health of your consumer, what are you seeing there? And how do you define the household income of dd's and Ross customers? 
Michael Hartshorn: Sure. On the -- first of all, our overall customer is very broad, age-wise, ethnicity, and income-wise. On average, the Ross customer makes between 60 -- household income, $60,000 to $65,000. And the dd's customer is south of that, in the $40,000, $45,000 range. But I would say the health of our customer, they're being squeezed. Food and fuel prices with inflation there means they have less to spend on discretionary items. 
Dana Telsey: And then just lastly, as you think about the real estate portfolio, so then keep maintaining the same level of new store openings. Is there anything that would make you adjust your rate of new store openings? Or given that's a glide path for the future, no adjustment in the strong balance sheet that you have? How do you think of that real estate portfolio? 
Michael Hartshorn: Yes. At this point, Dana, we wouldn't change our glide path. We're planning to open 100 this year, and we will execute to that. And then we'll revisit our long-term plans. But we think there's market share available. We think there's market share opportunities. 
 We think value will becoming increasingly important for the customer as it has over the last number of years. And we think we have a great opportunity ahead of us. So we would continue with our store opening plan. 
Operator: [Operator Instructions] Your next question comes from the line of Laura Champine with Loop Capital. 
Laura Champine: I'm wondering if weather had an impact on your comp this quarter. The strength of Florida would seem to point to that, but the comment that the comp decelerated as the quarter progressed sort of fights against that theory. 
Michael Hartshorn: Laura, the weather did not have a material impact on the business in the quarter. 
Laura Champine: How are your more mature markets, like some of the California markets holding up relative to the whole? 
Michael Hartshorn: California was relatively in line with the chain and then -- of our bigger markets, which you mentioned, Texas and Florida. 
Operator: Your next question comes from the line of Mauricio Serna with UBS. 
Mauricio Serna Vega: I was wondering if you could comment on the divergence and performance between Ross stores and the dd's DISCOUNTS? Curious one on one began slowing down earlier than the other? 
 And then maybe about a question on the second half. I'm looking into the numbers, it implies roughly second half of the year flat comp sales, but I think it also implies double-digit EPS growth. So I'm wondering like what are the puts and takes there to drive the EPS growth in the second half of the year? 
Michael Hartshorn: On dd's, dd's did trail Ross, but they were up against stronger gains last year, especially with the government stimulus that has an outsized impact on that consumer and also last year's stimulus, with -- at their income levels, they were also more impacted by inflation than the Ross customer. 
Adam Orvos: Yes. And later in the year, profitability improvement really on that flattish sales. We're going to go up against the anniversary of not only the wage side of it, but also domestic and ocean freight costs. So we'll anniversary those significant increases versus last year. So that's really providing the lift that you're seeing in the model. 
Operator: Your next question comes from the line of Corey Tarlowe with Jefferies. 
Corey Tarlowe: I believe in the prepared remarks, you talked about supply chain congestion easing somewhat. I was wondering if you could provide some incremental details about what you meant by that, what you witnessed in the quarter and then perhaps maybe what you're expecting going forward. 
Michael Hartshorn: Sure. We -- it's best to start from last year. So last year, the lead times degradated as we move through the year, so they got longer. So we planned the year based on what we saw in the fourth quarter. And what we saw in the first quarter is it did ease somewhat, which meant we received goods early. 
 Expectations for going forward, I think, will be highly dependent on how China comes back from their shutdown. So we're watching that very closely. We're going to be very cautious with our lead times, but I think it's going to be dependent on whether when they open back up and the timing of when it opens back up, what type of congestion that causes. 
Operator: And your last question comes from the line of Daniel Hofkin with William Blair. 
Daniel Hofkin: You may have addressed this earlier, so I apologize if this has already been asked. But when you talked about execution issues, is that strictly a matter of kind of not enough of -- better selling products, too much of slower selling product? Or are there other issues you would point to? And then second would be, how would you break down sales shortfall between execution and consumer slowing down? 
Michael Hartshorn: Yes, I think what we're saying is we know we can do better. So in this environment -- inflationary environment, I mean, none of us have been in this for 40 years. So we know we can offer our customer better bargains, and we'll do that. So it's -- we wouldn't be able to break out execution versus the impact on inflation in the consumer. 
Daniel Hofkin: And then in terms of just the nature of the missed execution, was it all related to heaviness or how much of the better selling product you had are held or light on it or was it also pricing in some cases, just so we -- it would helpful understand that? 
Barbara Rentler: I think it goes back to what Michael was saying. It's not -- we had one major mistake or one major business that's really underperforming. We don't feel that we executed at the level that we're capable of. And so that might be something as simple as we should have bought more career versus casual, a shift of penetration of a few points, Filling up the delivery of something. It's just not quite as crisp as we normally are. There's no -- if the real question is, are there any real assortment issues in select businesses, there aren't. We need to execute at a higher level, and we need to -- to the level that we're capable of doing and that we have been doing. And so that's really what we need to do as an organization. 
Operator: And that concludes our question-and-answer session for today. I will now turn the call back over to Barbara Rentler for final remarks. 
Barbara Rentler: Thank you for joining us today and for your interest in Ross Stores. 
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.